Operator: Good afternoon and welcome to the Ollie’s Bargain Outlet Conference Call to discuss Financial Results for the First Quarter of Fiscal 2021.  Please be advised that reproduction of this call in whole or in part is not permitted without written or authorization from Ollie’s. And as a reminder, this call is being recorded. On the call today from management are John Swygert, President and Chief Executive Officer and Jay Stasz, Senior Vice President and Chief Financial Officer. I will now turn the call over to Jean Fontana, Investor Relations to get started. Please go ahead, ma’am.
Jean Fontana: Thank you and good afternoon everyone. A press release covering the company’s financial results was issued this afternoon and a copy of that press release can be found in the Investor Relations section of the company’s website. I want to remind everyone that management’s remarks on this call may contain forward-looking statements, including, but not limited to, predictions, expectations or estimates and that actual results could differ materially from those mentioned on today’s call. Any such items, including with respect to our future performance should be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. You should not place undue reliance on these forward-looking statements, which speak only as of today and we undertake no obligation to update or revise them for any new information or future events. Factors that might affect future results may not be in our control and are discussed in our SEC filings. We encourage you to review these filings, including our annual report on Form 10-K and quarterly reports on Form 10-Q as well as our earnings release issued earlier today for a more detailed description of these factors. We will be referring to certain non-GAAP financial measures on today’s call that we believe maybe important to investors to assess our operating performance. Reconciliations of the most closely comparable GAAP financial measures to the non-GAAP financial measures are included in our earnings release. With that, I will turn the call over to John.
John Swygert: Thanks, Jean and hello everyone. Thanks for joining our call today. We delivered another incredible quarter and we are very excited about our strong start to the year. Our exceptional results were made possible by the remarkable execution and resilience of the entire Ollie’s family. I want to express my gratitude for their tireless work to serve our customers while maintaining a safe shopping environment. Our overall performance was driven by robust sales growth, reflecting our ability to capture opportunities in the marketplace. Productive new stores and strong comparable store sales fueled by great deal flow drove a 29.5% increase in our top line in the quarter and a 65.7% increase in our operating income. Comp store sales increased 18.8%, resulting in a 2-year stack of 15.5%. The combination of great deals and macro tailwinds, such as the third round of government stimulus fueled our very strong performance. Our top line strength was broad-based across our merchandise categories, with 19 of our 21 departments comping positive as the merchant team continues to deliver great values throughout the store for our customers. Our top performing departments included bed and bath, flooring, lawn and garden, electronics, books and toys. We remain laser focused on the execution of our plans, which begins with our amazing deals, deals that provide incredible value to our customers across all of our merchandise categories. Market disruption is driving strong deal flow, and we expect that to continue. Our buying team’s deep and long-standing vendor partnerships give us a competitive advantage to gain preferred offerings of great deals, large and small. Our success, size and scale is also fueling buying opportunities with a host of new vendors. We are well-positioned to capture these opportunities with the know-how to take advantage of the great deals we see each and every day. And we have the dry powder and our open to buy and strong financial liquidity position to make it happen.
Jay Stasz: Thanks, John and good afternoon everyone. I want to start by thanking the entire Ollie’s team for their incredible teamwork and dedication that made the first quarter such a success. I also want to extend a warm welcome to Eric. It’s great to have you on the Ollie’s team. We are thrilled to have delivered another outstanding quarter. For the quarter, net sales increased 29.5% to $452.5 million. Great deal flow, productive new stores and strong comps drove this increase. Comparable store sales increased 18.8% in the quarter, fueled by significant increases in both transactions and average basket. In the quarter, we opened 11 new stores, including 2 relocations, ending the period with 397 stores in 25 states, a 10.3% year-over-year increase in store count. Since the end of the first quarter, we’ve opened another 8 stores for a total of 19 this year, and upped our state count to 28. These stores drive our growth, and we are very pleased with their productivity and ROI as our new stores pay for themselves in less than 2 years. Gross profit increased 30.1% to $182.6 million, and gross margin increased 20 basis points to 40.4%. The increase in margin was due to improvement in merchandise margin, partially offset by increases in and de-leveraging of supply chain costs, primarily due to the higher transportation expenses as expected. SG&A expenses increased 16.3% to $104.4 million, primarily due to additional selling expenses from our new stores, higher store payroll and variable selling expenses to support the increase in sales. SG&A as a percentage of net sales decreased 260 basis points to 23.1%. The improvement was driven by leverage in payroll, occupancy and many other costs due to our strong sales performance and continued tight expense control. Operating income increased 65.7% to $71.2 million. Operating margin increased 340 basis points to 15.7%. Adjusted net income, which excludes tax benefits related to stock-based compensation, increased 64.9% to $53.1 million. Adjusted diluted earnings per share increased 63.3% to $0.80 per share. Adjusted EBITDA increased 59.2% to $79.2 million and adjusted EBITDA margin increased 330 basis points to 17.5% for the quarter. Capital expenditures in the first quarter totaled $9.5 million, primarily for new and existing stores. This compares with $12.4 million in the prior year. At the end of the period, we had no outstanding borrowings under our $100 million revolving credit facility and $472 million in cash. Our proven track record of robust cash flow generation is a testament to the strength of our model, allowing us to fund our growth and continue to build our cash position. This year, we plan to strategically deploy our cash on hand to buy back shares of our stock in both a programmatic and opportunistic manner, putting our cash to good use and increasing shareholder value. Year-to-date, we have invested almost $30 million to repurchase our shares.
Operator: Thank you.  Our first question comes from Matthew Boss with JPMorgan. You may proceed with your question.
Matthew Boss: Thanks and congrats on a really nice quarter again, guys.
Jay Stasz: Thanks, Matt.
John Swygert: Thanks, Matt.
Matthew Boss: So, John maybe to just help out a little bit, could you speak first to close out availability, larger picture, where we stand today? And then second, if you could just elaborate on the underlying top line momentum that you cited in May. I guess my question is, has business against what I think was the toughest monthly compare in the company’s history, has it held a 2-year stack, which points to at least the low single-digit comp algorithm as we exit the pandemic? Anything you could share I think would be helpful?
John Swygert: Sure, Matt. With regards to the closeout industry, I know there has been rumbling out there that there is a tightness of closeouts. There is a lack of availability. I can tell you from our perspective, at least from Ollie’s world, that’s the furthest from the truth. Our buyers are having no issue in any category other than what I mentioned in the past, which was the chlorine tablets, everything else is flowing very, very well. And we’re seeing an abundance of availability out there from our perspective. The merchants are being very, very selective in what they are taking now because there is so much out there, but I would tell you, we feel very good where we’re positioned. And I think the disruption in the marketplace is going to continue to add more and more opportunities for us as we continue to go forward. With regards to the overall sales, I am not going to give a lot of color on the current quarter, but I would tell you, we’re definitely very excited about what we have seen so far quarter-to-date. And we are definitely ahead of our expectations. And I could tell you we will give you a little indication on a 2-year stack basis, we are ahead of our long-term algo without a doubt.
Matthew Boss: Okay, great. And then maybe to follow up on gross margin, I guess, how best to think about a range of outcomes for merchandise margin versus distribution in the second quarter and for the year, holding the 39.7% to 39.8% gross margin to me, based on everything we are hearing from freight across the industry is pretty impressive? So just what provides you that confidence in holding the gross margin for the year, maybe based on what you have seen to-date?
Jay Stasz: Yes. Matt, this is Jay and I will start and John might chime in. But as you said, right, we are seeing increasing costs both on the transportation side and the labor side, just like everybody else in retail. But we are sticking to the 39.7% to 39.8% for the year. And for us, we can – there are certain levers we can pull and we can work on the merchandise side, on the buy side, getting better buys, getting better pricing. We can work on the pricing side by increasing prices if we have to keep in mind though that we are a price follower, not a price setter and we always want to maintain that value to the consumer. And we can also work on the DC side just to be more productive and cut costs out there. And as always, we are always going to keep our focus on the SG&A dollars. But I would say, we are not giving guidance. And so we – we are not – I am not going to talk about by quarter. I think the way we laid it out last time still sticks. We are sticking to that 39.7% to 39.8% for the year. We could see in the next couple of quarters, I would say, more pressure on our margin just because of the increased cost on supply chain, but again, we would expect that to come back to us on a full year basis and hit that target. And we are going to work hard to do it.
John Swygert: Yes. Matt, the only thing I would add to that is obviously the way we buy in the closeout sector. We do have opportunities to offset some of these cost pressures that we have. So it’s early in the year. We just finished the first quarter, still three more quarters to go. So, there are a lot of cost pressures out there for all of us. I think we are well positioned to try to do our best to offset that. As we get later in the year and we may have more color on where we think we can land, but right now, we are sticking with our original plans and expectations that we set out there at the 39.7%, 39.8% and we are going to do our – work our hardest to make sure we can do that.
Matthew Boss: Perfect. Congrats again. Best of luck.
Jay Stasz: Thanks, Matt.
John Swygert: Thanks, Matt.
Operator: Thank you. Our next question comes from Randy Konik with Jefferies. You may proceed with your question.
Randy Konik: Yes, thanks a lot. So, two questions. I guess, one, you had really nice expense leverage in the quarter. We have seen a lot of companies be able to do that. And a lot of them have been talking about pruning the expense base during COVID and becoming more lean coming out of COVID. So, just wanted to get some sense of how – what do you think is more sustainable or not sustainable on your expense base in terms of the ability to get leverage or possibly have a lower expense leverage point? And then second, I guess, John, if you think about just the longer term and the buying team, what are some of the enhancements or strategies you are working on to think about enhancing that team for the next 5 to 10 years. What are you guys working on that’s different and kind of can help you get into new categories or just establish more relationships just curious there? Thanks.
John Swygert: And Randy, let me answer that one first and will let Jay go back to the SG&A leverage. With regards to the merchant team, I would tell you we always are – always have been and continue to invest into the team. As you know, we have been pretty successful for 39 years and we continue to be successful with the business model we operate in. So I think we have got the mousetrap pretty much figured out and we really focus heavily on the closeout business, which we call the inconvenience business. So, we are going to continue to invest into our team. We definitely are focusing on some potential I will call it, enhancements or strategies with regards to merchandise categories. We definitely think the pet category is something we could do a lot better in than what we have done so far. So we are going to invest into some strategies with enhancing our pet departments. But right now, being a real broad-based hardline retailer, we think we have most categories covered that we want to be into. And now, it’s a matter of just sourcing out the closeout deals and continue to invest into our team and continue to teach people how we buy them the closeout business and we are definitely committed to continue to do that. We look to build internal talent and we will continue to look outside as well. So that’s what we have been doing for many years and we are going to continue to do the same thing. We think that strategy works very well.
Jay Stasz: Yes. And Randy, this is Jay. On the expenses, I mean there is really no change for us from the overall model. We have always had a leverage point like we talked about it, about 1 point to 1.5 points of comp. And I mean, kind of to the way you started the question, we have always run very lean and kept an eye on every dollar that we spend. So I don’t know that we had new savings or identified great new savings methods because of COVID. We did incur COVID-related premium pay last year, not a lot, but probably $10 million for the year, $1.5 million in the first quarter. So we are not having to anniversary those. But no change to the overall leverage point. I would say, we obviously got great leverage in the first quarter. That’s really just a function of the strong sales performance. And we levered on our store payroll like we would expect to and we levered on our – some of our fixed costs like occupancy probably being the biggest one, like we would expect to. We do think in this environment, I mean, it’s a very competitive on the pay front, not only at the DC, but also at the stores. And like we have said, we address that market by market. So we are not giving guidance. But generally, what we talked about on the last call was a normalized SG&A rate of about 25% to sales on an annual basis. And obviously, we had some good news in the first quarter, but we are kind of sticking – we are not – we are kind of just sticking to the plan as we had it. We could have to reinvest some of those savings that we realized in the first quarter throughout the rest of the year in wages at the store level, but again, not a widespread increase just market by market. But yes, we are going to continue to leverage at that 1% to 1.5% comp.
Randy Konik: Perfect. Thanks, guys.
John Swygert: Sure. Thanks, Randy.
Jay Stasz: Thanks, Randy.
Operator: Thank you. Our next question comes from Brad Thomas with KeyBanc Capital Markets. You may proceed with your question.
Brad Thomas: Thanks. Good afternoon. Nice quarter. Wanted to ask about some of the spending patterns that you are seeing, could you give us a little bit more color about ticket and traffic trends? And then as you analyze some of the data from the Ollie’s Army’s members, what are you seeing about some of the new customers that you have brought in over the course of last year and how their shopping patterns might be different than more legacy customers? Thanks.
John Swygert: Sure, Brad. Hey, good to hear from you. I can speak to the transactions and the average basket. We don’t have traffic counters. So, we measure transactions. And so for our 18.8% comp in the quarter, both were very robust. About 55% of the increase came from the transaction side and the remainder came from average basket and we saw a big increase really in the average unit retail there.
Jay Stasz: Yes. Brad, with regards to the Ollie’s Army, we would tell you that we are not going to break out the new sign-ups versus the old sign-ups, but the overall spend and basket for the Ollie’s Army customer has gone up year-over-year, but it’s still maintaining about a 40%, 41% spread over the non-Ollie’s Army customer in terms of basket size. So, they are definitely spending more when they come into shop for us. We are seeing, as we said earlier, a 13.7% increase in the overall Army to 11.9 million active members is very strong and over 78% of our sales coming from the Army. We are very excited about that. So, that’s telling us that what we are doing is working to get the Ollie’s Army membership up and increase. So, we are seeing pretty – it’s odd, but we are seeing very, very consistent patterns with the overall Army year-over-year. So, the frequency is very, very comparable other than the spend, which is up. Everything else is pretty static year-over-year when we look at the overall how the customers are performing.
Brad Thomas: Very helpful. And John, I was wondering if you could speak a bit to the labor market and how you all are dealing with what’s obviously very tough environment to hire and retain good people?
John Swygert: Sure. Brad, I will break up into two segments. One is the distribution center supply chain and one is on the store front. The distribution supply chain has been and continues to be very, very competitive and very challenging to hire into. We have made some changes most recently to invest into the overall distribution centers, being all three of them at this point and offering sign-on bonuses as well to the associates, which appears to be catching some traction and it appears to be working. So the next thing we are working on is the retention factor, which is key and critical to be able to retain the new associates when you bring them in. So we’re working on continuing to make and create a positive work environment for the associates, controlling the amount of over time they get because a lot of those folks don’t want to work too much over time. So we’re trying not to burn them out too fast. But we’re focused on the DC network stores. A little bit different, stores is getting more competitive, but it’s really market driven. It’s not necessarily totally, globally. So we’re focusing in on the markets where we’re having challenging hiring, and we’re making the appropriate adjustments to get more and more associates into the building. Most recently, on May 18, we actually did a national hiring day, which was very, very successful for us. And we actually were able to hire quite a few employees at store level, which made us very excited, and we’re going to continue to look at that and actually plan on running another national hiring day on June 15, which will include all the DCs and the stores. And this one is going to be a little bit more planned out as we had a little more time to get our ducks in a row, and I think we will see a much better response as well when that period comes around. So we’re just going to continue to evaluate each market and continue to push, try to hire the folks and most importantly, keep them by giving them a good work environment and appreciate them when they work for us.
Brad Thomas: Very helpful. Thank you so much.
John Swygert: Thanks Brad.
Jay Stasz: Thanks Brad.
Operator: Our next question comes from Scot Ciccarelli with RBC Capital Markets. You may proceed with your question.
Scot Ciccarelli: Hey, guys. John, if you can try it, can you simply tell us what your comp expectation had been before the quarter started, just so we can kind of understand the baseline of how you’re thinking about the business?
John Swygert: For Q2?
Scot Ciccarelli: Yes, sir.
John Swygert: Yes. We’re not going to give any color on that, Scot. That base is we just not giving you guidance for the quarter. So we – obviously, you guys know where the Street’s at, and you guys have your baseline. And we obviously feel very, very good where we sit and how we are running relative to our internal expectations. But we’re not really going to give much more color than that at this point in time.
Jay Stasz: Yes. And Scot, I would just add to that. I mean the framework that we talked about on the call last quarter, kind of those concepts and benchmarks and the way people laid out their models, I think that’s pretty consistent, and we’re sticking – we’re not making any changes.
Scot Ciccarelli: Okay. Can’t blame you guys for trying, right? Unlike a lot of retailers, you guys have had some pretty material increases in transactions over the past year. Presumably, it’s because you were able to add a bunch of new customers. Obviously, you just talked about some of the growth at Ollie’s Army, but do you have any other details or color regarding your ability to kind of maintain those customers or is it just they come in, they sign up and maybe they don’t transact again?
John Swygert: We have isolated, Scot, the – I’ll call it, the 2020 – the Q2 2020 new sign-ups versus the Q2 2019 sign-ups as a control group. And what we’ve seen is that the control group from 2020 has been a little bit more sticky than the 2019 group, which tells us that they came in, they liked us, they tried this, and they are continuing to come back. They weren’t just one-and-done at a higher rate than what we experience in a normal year. So we feel like we’ve been pretty successful getting them in the box and keeping them coming back relative to what we’ve seen in what normal period of time looks like.
Scot Ciccarelli: Okay, got it. Thanks, guys.
John Swygert: Thank you.
Jay Stasz: Thanks, Scot.
Operator: Thank you. Our next question comes from Chandni Luthra with Goldman Sachs. You may proceed with your question.
Chandni Luthra: Hi, good afternoon. This is Chandni from Goldman and congratulations on a great quarter.
John Swygert: Thank you.
Jay Stasz: Thank you.
Chandni Luthra: Yes, of course. And if you guys could give us some color on some of the categories where you are seeing more disruptions than others that’s aiding your deal flow. That would be great.
John Swygert: Yes, Chandni, this is John. With regards to the – what we’re seeing in terms of deal flow, we’re seeing that very, very, very broad based. There is no shortage of product in any category that we’re sourcing. We have a very, very small category in luggage that we buy. There is not a lot of closeouts in luggage, and you don’t really play in the, I’ll call it, the private-label luggage world. So that would be one area we don’t see a lot of deal for right now. But we’re seeing a ton of activity in the aids, the health and beauty aids, the housewares, domestics would be bed and bath. We’re seeing good activity in the book category. So we’re seeing it real broad based on what we’re seeing from the flow perspective. So our merchants are not on any shortage of product in any category.
Chandni Luthra: Got it. That’s helpful color, thank you. And perhaps you could touch upon your marketing program that you’ve been working for a couple of quarters now. Just trying to understand how much is that contributing to you getting a bigger share of wallet with your existing Army members, and then also helping perhaps getting more – grabbing more eyeballs with new potential customers.
John Swygert: Yes. We are really working on transforming the marketing department and going a little bit more away from what we call print advertising going to the digital world. We’re just starting that. We started working with StitcherAds and Facebook last year, which I think is adding some benefits to us. We’ve been doing a little bit of testing, and we’re going to continue doing some more testing here in the second quarter of this year. And then we have a strategy to really, call it, add to the benefits of our print marketing because we’re not going to go away from that. That’s still going to be our key driver. But the digital world, we’ve been doing some testing with Cardlytics on the credit card side. We’ve been doing some e-mail testing with the Ollie’s Army customers for folks who have lost not been back in the store to bring them back in the store. We just signed a contract with the Sasha Group, from a digital perspective to help us with, I’ll call it, the paid searches with Google, YouTube, Pinterest, use of influencers. We’re looking to do some testing with retail me not. So there is a lot of things we have in the pipeline right now, but we are not necessarily totally complete with all of our tests to see what is – which is the most effective. I think our mousetrap has always been pretty good. The digital may just be adding a little bit of a flare to folks who don’t get the print advertising and getting a little bit more traction within our box, and I think we’re seeing that as well. But it’s a little noisy, Chandni, as you know, with regards to stimulus, I’ll call it stimulus number three still being out there. So we really need things to settle down in the marketplace to really evaluate everything. Because right now, I would tell you, we look very, very, very smart.
Chandni Luthra: Great. Thank you.
John Swygert: Thank you.
Jay Stasz: Thanks.
Operator: Thank you. Our next question comes from Peter Keith with Piper Sandler. You may proceed with your question.
Bobby Friedner: Hey, good afternoon guys. It’s Bobby Friedner on for Peter. Thanks for taking my questions. Just want to follow-up on the sales outlook and try and coming out from a different angle. So on a 2-year basis, posted about 40% growth this quarter. That’s kind of been in line with your historical 2-year growth levels. You said May is running ahead of expectations. Is there any reason, on average, that you can’t sustain this 40% level, give or take, a couple of points for the rest of the year?
John Swygert: Is stimulus going to continue every single quarter?
Bobby Friedner: You have a – in July, not the same magnitude.
John Swygert: Yes. Bobby, I would say that I don’t – we don’t expect and have not planned out the year to continue to – at any level compared to why we’re comping a 43% comp. We do not and have not expected to comp that number, and we’ve been pretty clear with that as well. So I would tell you that, that would be a far stretch to be able to do that. And there is some easing in Qs 3 and 4, but that was still pretty large numbers, up 15% and change and up almost 9% in Q4. So I think that our outlook and expectations have not changed due to the result of Q1, which obviously, Q1 had stimulus baked into it starting in the middle of March. So we feel pretty confident what’s remaining where we are at originally and continue to run the business with our current expectations as we planned at the beginning of the year.
Jay Stasz: Yes. And Bobby, I would just say, obviously, Q1 is a very, very strong performance and the trends so far in Q2 are ahead of our expectations. We feel great about where the business is and the momentum in the business and our ability to react to the market. But that said, we’ve got a lot of big weeks ahead of us. And just like always, we’re going to – like Mark would say, stick with us. We’re going to deliver all we can. We’re not going to turn off the registers. We’re going to be prudent in how we manage these expenses. But yes, we’re not updating guidance. We’re going to kind of stick with what we have and try to beat it.
Bobby Friedner: Okay. Sounds good. Maybe one more, a lot of retailers talking about strong outdoor trends continuing this year, wondering how you feel about your spring and summer outdoor merchandise this year and do you plan to have inventories up year-on-year in those categories?
John Swygert: Yes. I think from the outdoor perspective, the summer patty and lawn and garden, those are two categories that we would probably tell you, we feel pretty good about as well. And I think we’re well positioned. There definitely is, as we mentioned earlier, and I think a lot of other retailers are seeing it, there is some delays in the summer furniture and lawn and garden areas. But we are – we believe we’re well positioned to get our stuff in, in time for the season. And I think we will see good result there.
Bobby Friedner: Alright. Thanks a lot guys.
John Swygert: Thanks, Bobby.
Operator: Thank you. Our next question comes from Simeon Gutman with Morgan Stanley. You may proceed with your question.
Unidentified Analyst: Hey, good afternoon. This is  on for Simeon this afternoon. I just wanted to ask for the first quarter. Could you maybe just give us the cadence by month on comps?
John Swygert: No. We don’t break out the cadence by month. I mean, certainly, February was maybe a little bit – it was very consistent with April maybe a little bit lighter than our expectations just because we had some delays in tax refunds and there were storms in Texas. March was very strong in the quarter, given the stimulus that hit and then the momentum. April was very good, ahead of our expectations, and that’s continued right into the second quarter.
Unidentified Analyst: Okay.
John Swygert: Yes. The only thing I would go back on is, as we mentioned on the call, we were mid-single digits when we had our call in – I think it was March 15 or 18 or something around that nature. So you can kind of get a lay of the land to go from mid-single digits up to an 18.8%. We have pretty good momentum after the middle of March through the middle of April then we had the stimulus that we went up against last year that started in the middle of April of 2020. So there is some nice runway basically from middle of March to middle of April.
Unidentified Analyst: Okay. That makes sense. And then, John, I think you commented earlier that the 2-year from May is running ahead of the long-term algo. Does that imply that sales per store is sort of running in that range as well or are we sort of flat, down or up, is there any color you could give there on a sales per store basis?
John Swygert: No. We are going to be – we can’t give you additional color more than what we’ve already done. We – what I would tell you is obviously going up against a 43.3% from last year. And coming off of an 18.8% from Q1, we’re feeling pretty good where we’re sitting today and how we’ve performed so far compared to our expectations. It’s definitely – we’re not comping the comp as we said very clearly. That’s a pretty large uphill battle, but we are – we feel very good on a 2-year basis where we’re sitting today.
Unidentified Analyst: Okay, appreciate it, guys. Thank you.
John Swygert: Yes, thanks.
Operator: Thank you. Our next question comes from Jeremy Hamblin with Craig-Hallum Capital. You may proceed with your question.
Jeremy Hamblin: Thanks and congrats on the tremendous performance and execution. Let me start with a question about your private label sales. I think it was like 20% of sales in Q4. Given some supply chain disruption and what’s going on in ports and so forth, what did you do private label in Q1? What’s the expectation for Q2 and the balance of the year?
John Swygert: Yes. Jeremy, I don’t recall ever really discussing what we did in private label sales. We doubt we’ve ever talked about that as a company. So we may have disclosed that about 12% of our business comes from private label and about 18% comes from everyday value goods and 70% closeouts. But we really don’t disclose our overall private-label sales. That’s not really a focus of ours in terms of how we really analyze the business on a quarter-to-quarter basis. That’s – a lot of people think private label are margin drivers, to us it’s margin neutral. Closeouts are sometimes a better margin than private-label goods. So it’s a little counterintuitive from our perspective. But that’s not an area that we really look at or focus on or report on.
Jeremy Hamblin: Fair enough. Let me then ask a question about your buybacks, which you have accelerated. You just have a tremendous amount of cash on the balance sheet. I think if you executed the rest of your buyback overnight, you’d still have like 3x the amount of cash that you’ve ever had on the balance sheet. Is there some thought, discussion around whether or not you could either expand that buyback program or potentially do something on the order of a special dividend? I know your growth concept. But just how do we manage such an enormous amount of cash on the balance sheet and make that a productive asset?
Jay Stasz: Yes. Jeremy, this is Jay, and I’ll speak to it. I mean, like we said on the call, I mean we think buyback is the right use for that excess cash. And just like anything Ollie’s does, we’re going to crawl before we walk, walk before we run. But to your point, we are building up quite a sizable amount of cash on the balance sheet. And we think probably long-term $200 million to $250 million of cash on the balance sheet is what we would keep from an operating standpoint. And like you said, like you know, we’ve got $170 million authorized by the Board. But I think right now, our thinking is we just want to be – lean into the buyback program, and that’s going to be our lever to continue to use that excess cash. And obviously, it’s subject to the market a little bit, and we want to be opportunistic, and we also want to be out there consistently. But if that’s what we’re going to lean into as a vehicle to use that cash, and we think that’s the best way to get shareholder value. So I don’t have a number I can give you for the year, but absolutely we’re going to lean into it. And I would tell you over the long-term – and it’s something we talk about every quarter. But in my mind, in the next year or two, buybacks will be the way we go before a special dividend or anything else. And we are going to work towards that cash balance on the balance sheet of $200 million to $250 million.
Jeremy Hamblin: Thanks, guys. Great job. Best wishes.
John Swygert: Thanks, Jeremy.
Operator: Thank you. Our next question comes from Rick Nelson with Stephens. You may proceed with your question.
Rick Nelson: Thanks and good afternoon and my congrats on good start to the year. John, I’d like to talk about the real estate market. What you’re seeing out there. Are there better rent deals today? Are you getting better locations than you have in the past? And what’s happening along those lines?
John Swygert: Yes. Rick, I would tell you the real estate market that we operate in, there is a lot of availability and opportunities for second-generation sites. In terms of rent, rental rate opportunities to reduce probably not there, we have always been very, very aggressive on our rental rates that we’ve been able to achieve, and that’s something that I doubt that we would ever – would not ever, but we don’t foresee in the near future, any reduction in the rental rates. We believe there is opportunities for pretty good sites. I think we’ve been doing pretty well. I think we will continue to do very well in the site selection. Programs that we operate in, as we said in the past, our stores are pretty successful. We don’t have any stores that lose money. So I think we’ve had a pretty good idea of how to go to the market on the real estate side. I will tell you there are cost pressures and challenges today in the marketplace from a construction perspective. As we all know, everything is higher in cost, anything construction-related, lumber-related is much, much higher. So it’s making it more challenging to get the deals at the rent structure we continue to push that. But our dealmakers are doing a great job securing the sites and the great job holding the landlords to the numbers we’re trying to hit and getting the construction work completed. So we’re overall very excited where we’re sitting. And we think our growth and our ability to deliver the sites on a long-term basis is pretty solid.
Rick Nelson: Great. And just as a follow-up to that. You mentioned there are 50 to 55 stores in your ceiling, I’d think that’s what the infrastructure would support. Is there any way to push beyond that? You certainly have the capital and the cash to accelerate store growth.
John Swygert: Yes. Rick, I think right now, and I think it’s current. It’s not forever. We’re comfortable with the 50 to 55 stores. We’ve always said about one store per week feels right to us. Our stores are not as easy to run as some other stores out there and pretty complicated to fill up. So right now, with our current infrastructure, we think that’s the right number for us to be at. We – we’re – as you know, we’re really uber-focused on the culture of this business. And we feel that if we grow too fast and we don’t have the right training in place and the right ability to promote from within, and we stretch ourselves too thin that could hurt the model. And we just feel right now the right thing to do is 50 to 55 stores. 2 or 3 years from now, I might have a different answer for you as we continue to have a larger base. It’s really human capital related on why we’re not growing any faster because we want to make sure we grow successfully with our teams, and they understand the obvious way of operating the model.
Rick Nelson: Okay, that makes sense. Thanks and good luck.
John Swygert: Thanks, Rick.
Operator: Thank you. Our next question comes from Paul Lejuez with Citi. You may proceed with your question.
Bran Cheatham: Hey, everyone. This is Bran Cheatham on for Paul. I was wondering, it sounds like product availability is very good, but I was just wondering if the competitive dynamics for product has changed at all for the last couple of quarters.
John Swygert: We’ve not seen any competitive changes in the overall market for our relationships that we have in the marketplace. There is no new competition, no retailers changing their model that’s causing us any challenges or loss of any product we truly desire. We’re pretty much able to get what we want, choose what we want and be successful at it.
Bran Cheatham: Got it. Thanks. And then the new vendors that you’ve added, did they come to you because of disruptions in their business? Did you seek them out? And are you adding them to kind of your total role of decks or are you just kind of high-grading the vendor relationships?
John Swygert: I would tell you, most of the vendors reach out to us just because of our sheer size and staying power in the marketplace. But any new vendor we get, our goal is always to keep that relationship. So we’re not trying to do one-and-done deal. So anytime we get something, we always keep them in our role of decks and we make sure they know we’re always ready to buy and work very hard to be the first call. So that’s just incremental to the overall add to our overall – to our arsenal.
Bran Cheatham: Thanks and good luck.
John Swygert: Thank you.
Jay Stasz: Thank you.
Operator: Thank you. Our next question comes from Brian McNamara with Berenberg Capital Markets. You may proceed with your question.
Brian McNamara: Good afternoon. Thank you for taking my question. Congrats on the excellent results. With Army penetration continuing to grow rather robustly, I think you said 78%. I think it was 70% run rate, pre pandemic. Do you believe your underlying comp run rate is structurally higher now as the Army kind of underpins that growth and pandemic impacts fade?
John Swygert: Brian, I would – I hate to answer this way, but I don’t know, intuitively, the stronger the Army, the better for us. And as long as we continue to expand it, but I think over the last – over 2020, 2021 with the pandemic, the stimulus, all the noise that’s in these numbers, it’s hard to tell. But intuitively, it should be helpful to continue to build. Obviously, at some point, I think you cap out in terms of your overall ability to expand the Army when you’re already at 78% of your sales. But I think we’re not – I don’t think we’re there, yet. So I do think there is upside and opportunities. I think with some of our digital initiatives, we will be able to add some additional people as well to the overall mix, and we should be able to have some positive impacts as we move forward. But we’ve got to clear the noise here what the stimulus and the money that people are getting from the government.
Brian McNamara: Great. That’s fair. And then any color can you provide on your merchant team build out? Obviously, your merchants are doing a tremendous job historically and particularly over the last 12 months?
John Swygert: Yes. In terms of adding to the team, we added to the team last year. This year, we’ve actually added, I believe, three new people to the team, two are what we call the minor leagues who are coming in right out of school, and we’ve actually just added someone to our clothing department from another retailer, and has some experience in that category. So we will continue to build out the team. And right now, we’re not in a position where we’re actually actively looking for anybody. But if someone comes by, we will definitely talk to them. So we’re full for the year on the overall merchant team. And if the superstar comes by, we will look at them.
Brian McNamara: Great. Best of luck.
John Swygert: Thank you.
Operator: Thank you. And I’m not showing any further questions at this time. I would now like to turn the call back over to John Swygert for any further remarks.
John Swygert: Thank you, operator. Thanks, everyone, for your participation and continued support. We look forward to sharing our second quarter results with you on our next earnings call.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.